Joacim Sjoberg: Good morning, and welcome to our presentation of the Q4 and the full year results for 2024. It is a crisp and clear winter morning today, but spring is around the corner, and we can feel it. So as we have stated before, we are now -- we now have the financial strong position and are investing in attractive opportunities, both investing in the existing portfolio, product developments and acquisitions. The last days, we have been quite active and announced a couple of important transactions and events. I will briefly comment on them now, and then, we will talk more about them during the presentation. Yesterday, we announced that we are starting a new project in Stockholm. It's called Infinity, and it's located in Hagastaden. We are developing 20,000 square meters top-class office space in one of the most vibrant areas of Stockholm. The total investment volume is about SEK 1.7 billion. And last week, we also announced that we have acquired more shares in Entra, and thereby, passing the 1/3 threshold, which means an obligation to present the mandatory offer for the remaining shares. As we have said many times before, we really like Entra, the assets, the market, the management, and that the share price at which we are now -- as where we now have acquired shares and made a mandatory offer at NOK 110.4. We think it's a really attractive investment. And we are also happy that we 2 days ago could announce that we have added 1 more credit rating, and we are now rated by S&P, and hence, both Moody's and S&P. The new S&P rating of BBB flat is going to help us to achieve even better financing opportunities. Lastly, but quite importantly, the Board has decided to propose a dividend of SEK 2.48 per share after 2 years of paused dividend when we have been focusing on strengthening our balance sheet. So a short reintroduction or an overview, especially for those of you that don't know us that well. Castellum is one of the largest listed property companies in the Nordic region. Property value as of last of December last year sums up to SEK 155 billion, including our share in Entra. Castellum has a yearly contract volume of approximately SEK 9.5 billion. Something about our property portfolio. Our portfolio is located in Nordic growth regions. 2 -- 3 quarters is located in Nordic metropolitan areas, meaning urban areas with at least 1 million people, and the remaining 26% is in growing regional cities in Sweden. The largest market measured by property value is Stockholm, followed by Gothenburg and Malmo. In addition, we have a decent portfolio, although I would say it would benefit from being larger, in Copenhagen and in Helsinki as well as a very well-positioned and profitable portfolio in a number of Swedish regional cities including Vasteras, Orebro, Uppsala and Linkoping/Norrkoping. Our regional markets have proven very strong resilience and even rental growth during the downturn in '23 and '24. We have a solid market position in our regional markets, where we are #1, 2 or 3 in each of them. That makes us relevant for tenants and for the cities, councils. And in all of these markets, we have boots on the ground. Customer activities such as leasing, tenant improvements, relationships, et cetera, are all done legally -- locally. And with the backbone of Castellum supporting the regional business with centralized functions, we can utilize economy of scale. It is -- this is our fully owned and consolidated portfolio. And as mentioned, we also have a 33.3% stake in Norwegian Entra, and our share of Entra's portfolio is approximately SEK 20 billion. And Oslo will be our third largest market if we added our share of Entra to this property portfolio slide. We will come back to Entra later in this presentation. Castellum's tenants represent a cross-section of Nordic business and authorities, and our exposure to individual tenants is low. Our 10 largest tenants represent less than 15% of our total contract volume, and no tenant generates more than 2.5% of our rental income. The strong tenant base with many of our larger tenants being publicly funded, that is about 25% of our total contract volume. We have a very solid base. The largest tenant is The Swedish Police Authority with approximately 2.5% of our total contract value. The police is a tenant of ours in 12 different cities. As per the last of December, the remaining average length of our contract was 3.6 years. Looking at the full year result, it's a pretty stable one. Overall, our net operating income is up 3.4%, and the income from property management is up 10.2%. We will look deeper into these figures later in the presentation. Our net leasing is positive, both for the full year 2024 and for the period. Also, this will be dug into in further detail further on. The changes in property value is actually positive for the first quarter since Q3 2022. However, it's still negative for the full year of approximately 1%. We have continued to sell non-strategic properties and have started to reallocate the proceeds into new investments in line what we have said before. So Jens will cover this in greater detail. But from a helicopter perspective, the total income increases, divestments effect income negatively. We have reduced property costs. We have reduced admin costs and also reduced our financing costs, mainly due to lower interest cost, but also lower debt volume. Especially notable is the decrease in central administrative expenses, which is down SEK 162 million. Summing up, we report income from property management, as I've mentioned, more than 10% from last year. Over to you, Jens.
Jens Andersson: Thank you, Joacim. Good morning, everyone. Looking at development of income during the period, the like-for-like portfolio income increased by SEK 199 million, equivalent to 2.3%. The change in the like-for-like portfolio is mainly driven by indexation amounting to SEK 408 million or 5.3%, though partially offset by higher vacancies of SEK 122 million and discounts increasing by SEK 28 million. The development in Q4 isolated is somewhat weaker, mainly relating to other rental income and early termination fees in the fourth quarter last year of SEK 45 million. The direct property costs for the like-for-like portfolio decreased by SEK 54 million, explained by one-off in Q4 previous year as well. Electricity costs decreased by SEK 94 million, though mitigated by higher year tariff bound costs for water and heating. Regardless, we keep a strong focus on our energy projects. Central administrative and property administrative costs reduced by SEK 176 million, of which SEK 143 million is explained by a write-off of previously capitalized projects in 2023. Excluding one-offs, the administrative costs still decreased by SEK 33 million, corresponding to 4%, mainly due to reduced headcount and an ongoing cost review. Looking at renegotiations, prolongations and net leasing, renegotiations corresponding to an annual rent of SEK 452 million were conducted during the period with an average negative change in rent of 1%. Additionally, contracts with an annual rent of SEK 1.7 billion were extended during the period with no change in terms, equivalent to 62% of total lease stock up for renegotiation. Looking at leasing activities, we are happy to return with positive net leasing on both an annual and quarterly basis though the higher termination rate continues to have a slight negative effect. Economic occupancy rate improves with 0.3 percentage points during the quarter, and the positive change is mainly relating to started projects. Tenant quality has been very stable and outstanding receivables are low and decreasing compared to the same period last year. Bankruptcies also lower than last year, down from SEK 57 million to around SEK 40 million; however, somewhat increasing during the last quarter. We are also happy to dive into a very significant lease we signed in the fourth quarter with TV4, and it's a 15-year lease for approximately 16,000 square meter and a total rental value of SEK 1 billion. We will invest approximately SEK 300 million in the building. Completion of the property is scheduled for the autumn of 2026, after which it will be ready for occupancy. Today, Castellum has its own regional and head office in the property, but we'll be moving to new premises later this year to create room for TV4. In addition to TV4, we have also signed many other leases during the quarter, among others, including a 3,300 square meter lease in Helsinki, a 1,000 square meter lease in Stockholm at our central cluster on Torsgatan. And the 2,200 square meter lease in Malmo in Hyllie. All 3 contracts have been signed with different parties that do not allow external communication of the tenant, all contracts signed on fair market terms. Jumping into our favorite slide about rental income and net leasing. Over the last 5 years, Castellum has delivered a positive net leasing of SEK 508 million. However, during the last 2 years, the number was negative with minus SEK 54 million. Now, with lower interest rates and a strong return to office strategy among many companies, a positive shift might be underway to some extent, supported by our leasing activities during the fourth quarter, but still too early to say with certainty. Income on the other hand is more stable and increasing over time; however, affected negatively by 2 years of divestments and a general slowdown in the economy. New projects are underway and will grow rental income over time. Joacim will tell you more on the topic of new projects later in the presentation. And then property values at a quick glance. During the period, Castellum has written down property values with approximately SEK 1.6 billion, equivalent to 1.2%. Since the peak in '22, downward close to SEK 23 billion, the value change during the year was mainly driven by lower cash flow expectations. During the fourth quarter, we have the first quarter with positive value chain since the third quarter '22, where our projects have a solid positive value effect. We are also seeing significantly higher investment volumes in the Swedish real estate sector. Volume-wise, the fourth quarter ended the year in a really strong manner and might be an indication on what to expect for this year. Office stood for 26% of the investment volume, which is at the level that we haven't seen since 2016. Valuation yields, up 1 bps since last year, more or less unchanged. In addition, our property sales continue to confirm our book values. Highlights from the financial side, loan to value now at 35.6%, down with almost 2% points during the year despite the slight downward pressure on property values. ICR currently at 3.3x, expected to be stable going forward. Average interest currently at 3.2%, down by 0.2% during the quarter. We expect average interest rates to be stable around 3.2% during 2025. FX hedge on Entra have impacted financial net by approximately SEK 90 million, a direct effect of the historically high interest rates differentiating between Norway and Sweden. Also in Q4, we've had one-off in the financial net relating to innovation of bonds, early closing of loans and rating fee of approximately SEK 40 million. As Joacim previously mentioned, we are also very pleased to share that we have received a long-term credit rating of BBB stable outlook with Standard & Poor. This confirms Castellum's stable business model and strong financial position. The rating improves our position in the capital market and enables lower financial costs over time. Looking at debt maturities, we are proceeding with our focus on extending duration, now reaching an average debt maturity of 4.4 years. During the quarter, we have only refinanced 1 term loan of SEK 3 billion on an 8-year tenure on competitive terms. Glad to report that we also have 80% of all term loans signed during the year has been green. Limited amount of unsecured funding, expiring in 2025, save for 1 large euro bond of SEK 500 million in March. Capital market is currently very strong and liquid. Price indications on a 3-year domestic bond is currently slightly below 100 bps; 5-year bond, 125. Also, roughly SEK 26 billion in cash and unutilized credit facilities available at the end of the year. We have reduced the RCF volume during the quarter somewhat and expect to further cut it going forward when we achieve longer commitments from bond market and banks. During the quarter, we successfully completed innovation of Kungsleden bonds. This is done to streamline the debt portfolio and reduce administrative work. All in all, a very good financial position for Castellum. Over to you, Joacim.
Joacim Sjoberg: Thank you, Jens. Looking at our sustainability performance. We work towards the clear sustainability targets that we have communicated, both in the short and the long term to contribute to a sustainable development despite the current changes in global views on sustainability investments. We are actively engaged in reducing our climate impact through enhancing energy efficiency, and that was actually achieved, a minus 4% consumption or efficiency over the last 12 months. We continue to focus on sustainability certified buildings. 69% of the property portfolio was certified at the end of '24. And for the ninth consecutive year, we have received top marks in the S&P Corporate Sustainability Assessment, and we are the only Nordic property company in the Dow Jones Sustainability Index. The award consolidates our position as a sustainable investment alternative. In the assessment, which cover over 13,000 listed companies globally, Castellum ranked an impressive eighth position among property companies globally. So -- and for the sixth consecutive year, we have surveyed Nordic office employees about their expectations of working life and the office as a workplace. The report called the working life of the future is based on interviews conducted by an independent survey firm on behalf of Castellum. It's over 4,000 office workers, aged 18 to 67, that participated in the survey. It will be published on the 5th of March, and I urge you all to read it. It's going to be available on our website. There is a clear link between office attendance and satisfaction with the office environment. The more satisfied you are, the more days you want to work in the office. This is why we aim to help our tenants to get more employees back to the office by improving the asset quality in our portfolio. Happy employees leads to happy tenants, leads to good business for Castellum. This is also why we rotate our portfolio towards higher quality, divestments of nonstrategic properties in favor of investing in refurbishment, TIs, property developments, acquisitions, et cetera, is our way of meeting future client demand. And as I just mentioned, quality is one of the most important value drivers. Rotation of our portfolio is an integral part of our value creation. We have invested SEK 2.6 billion, almost everything, including new constructions as well as extensions and reconstructions. The SEK 2.5-roughly billion in project investments are split between SEK 1.1 billion in larger projects and SEK 1.4 billion in smaller projects including CapEx and TIs, they are each below SEK 50 million -- 5-0 million, each. We have continued to sell non-strategic properties, but we are evaluating a number of acquisitions of standing properties as of now. There could be more opportunities out there, and I'm hoping that the transaction market will waken up this year so that we can accelerate our growth. There's no need for us to further strengthen the balance sheet by selling, the balance sheet will continue to strengthen itself through our operations. So we aim at being net investors already in 2025 and going forward. Something on our largest projects. We have 8 larger projects ongoing and 1 to be started this quarter, and that is Rotterdam 1, which is the property, well, TV 4 will move into. Larger projects in this case means larger than SEK 50 million -- SEK 5-0 million. It's a mix of metropolitan areas and regional cities. The average occupancy rate is 94%, and the rental value is SEK 241 million. And the average lease duration of these new projects is 14 years. Just a few words on the beautiful buildings that you see to the right. The top one is Bägaren in Norrkoping. It's approximately 6,500 square meters, fully let to the police authority on a 6-year lease. They will move into these new premises in Q3, Q4 of this year. It was previously rented to another public tenant, but have been vacated, totally upgraded and certified as Miljöbyggnad silver. The lower picture on the right is Repslagaren in Orebro. It's a building in the city center of Orebro right at Stortorget. It's a renovation for CAB Group, approximately almost 5,000 square meters, 5-year lease. They move in June 2025. And looking into -- further into the future of our major project developments. One of our strengths is the large number of opportunities throughout our portfolio and the sum of a large number of small and medium-sized development opportunities adding up to a very large total of almost SEK 40 billion. Having said that, we have a couple of major development opportunities that perhaps lie a bit closer in time, and the largest one is in Gothenburg, where we bought an airport in 2018 and where we have the opportunity to create a substantial logistics hub in an excellent location. In Gothenburg, we also have a very central office development opportunity. We call it Noon, and it's situated right between Nordstan and Lilla Bommen. And you can see that, at least the idea of what that building would look like in the middle. In Stockholm, we have a number of development opportunities in Hagastaden, including Infinity, which we will talk about shortly. And Infinity, well, yesterday, we announced that we are starting a new project in Stockholm. It's called Infinity, as mentioned, and it's located in Hagastaden. We are developing some 20,000 square meters of top-class office space in one of the most vibrant areas in Stockholm, right between the life science cluster at Karolinska and the city center. The investment volume is SEK 1.7 billion. And in the area, we also have 2 large standing assets. One is Isotopen, fully let to -- of about 23,000 square meters, and Blästern, which houses a hotel and others. In addition to Infinity, there are 2 more development opportunities in Hagastaden, Emerald House and Jubileumshuset, both buildings are yet to be decided upon when we will start them, but they're close by to Infinity. Entra, well, last week, we announced that we have acquired more shares in Entra, thereby passing the 1/3 threshold, which means an obligation to present a mandatory offer for the remaining shares. As mentioned, the Norwegian Securities Trading Act stipulates an immediate announcement when passing a threshold. And hence, we had to announce the acquisition after only acquiring 100 shares. We acquired those shares at the price of NOK 110.4 per share, and this is also the price in the mandatory offer. Yesterday, we published the offer document, and the acceptance period starts today and lasts for 4 weeks. Balder, which has 40% of the shares, has informed us that they will not accept the offer, and they have also published a press release with this information as well as stating that they will not submit a counteroffer. Entra has a high-quality portfolio, mainly in Central Oslo. It has a strong customer base with long leases and a large and attractive product portfolio, which makes the company well positioned for the future. We think that acquiring shares is a good investment for us and are happy to further increase our shareholding through the mandatory offer. Another very good news is that the Board has proposed to the AGM a dividend of SEK 2.48 per share, which corresponds to our new dividend policy of at least 25% of the income from property management. This comes after 2 years of paused dividend when we have focused -- been focusing on strengthening our balance sheet. So summarizing 2024, I must say it became far better than expected when we went into the year. The rental market is stable in our regional cities. However, it has been during the year and still is a bit more cautious in the capitals of Stockholm, Helsinki and Copenhagen. We are very proud of delivering positive net leasing and will continue to have a strong focus on our leasing activities. We have said it before, we are ready for new investments, both projects and acquisitions because we have a solid financial position, a strong underlying business and feel comfortable that 2025 will be a stronger year for the Nordic economies. As of lately, we have also announced a few new investments, Infinity, that we talked about, acquisitions of shared -- shares in Entra coupled with the mandatory offer. Thank you and over to you, Christoffer.
A - Christoffer Stromback: Thank you. So it’s time for questions. It could be that we have a slight delay between hearing your questions and being able to answer them. So just stay with us, and we will answer as soon as we hear them. [Operator Instructions] The first question should come from John Vuong from Kempen.
Operator: The next question comes from John Vuong from Van Lanschot Kempen.
John Vuong: You mentioned a gradual increase in projects. I think in the report you're also talking about having evaluated a number of acquisitions. So it's quite clear that you are going to be a net investor. How should we think about your leverage level going forward? You also mentioned that there is no need to sell anymore. Could we still see continued capital recycling of non-core assets here?
Jens Andersson: Yes, yes, a very reasonable question and assumption. Looking at the loan-to-value, we have internal targets of 40% loan-to-value, and we will stay clear within those boundaries. It might go up slightly or continue slightly downwards. It really depends on the opportunities that we see in the market.
John Vuong: And then on the question of capital recycling. Could you still see yourself being a seller in this market?
Joacim Sjoberg: As I mentioned earlier, we will continue to trim our portfolio selling nonstrategic assets, but that is mainly to make sure that we have an effective management of our properties and also that we focus on growth regions. So we might sell things on a continuous basis, but that is not for the purpose of adjusting our balance sheet.
Christoffer Stromback: And sorry about this delay. But next question from Lars Norrby, SEB.
Lars Norrby: Okay. I'll stick to the topic of expansion and that somebody else take the nitty-gritty about the fourth quarter. Once again, as you mentioned, you have evaluated a number of acquisitions during the quarter. But obviously, you opted to take another route, an indirect route through triggering the mandatory bid in Entra. Can you just take us look ahead step-by-step threshold? Now you passed 1/3, and it's 40%, isn't it? And then it's 50%? And more explicitly, my question is if you would manage to acquire the remaining shares at the mandatory bid price, can you handle that without the share issue?
Joacim Sjoberg: That's a good question, Lars. And yes, the short answer is up to 40%, yes. And that is the next threshold. And I think it would be unwise of us to already now speculate what it will be for the future going forward even further than that.
Lars Norrby: Okay. Then I'll leave it at that. And then just a question on the other sort of potential avenue of expansion, which is projects. The Infinity project that you announced yesterday, it's -- there's no signed lease in that project. So what triggered you to start -- to announce the start of this project now? I think it's starting in the third quarter. And would you consider starting another major project without having signed a lease?
Joacim Sjoberg: Those are also 2 good questions, Lars. And the reason for us starting is that we have had our finger on that trigger for quite a while. And now we feel both that the market outlook is good. There's a window when there's very few other projects being finalized at the time when this project is finalized. And finally, we are in the financial position to be able to actually do this investment without jeopardizing everything that we worked for so hard during the last 2 years. And the follow-on questions whether we are happy to do other major investments without having them fully let prior to starting them, I would say that, that really depends on the location and the product. There might be instances of us starting without a fully let project, but I doubt that we will do that on the scale of which Infinity is, i.e., almost SEK 2 billion in one go. We are not increasing the operational risk level of Castellum.
Christoffer Stromback: Next question from Erik Granström, Carnegie.
Erik Granström: My first question is, again, regarding Infinity. Could you tell us what kind of rents or yield on cost do you expect for this project?
Joacim Sjoberg: Yes. Well, rent levels, we expect above SEK 6,000 per square meter in parts of the building that's likely to be the top floors, et cetera. And then, of course, there might be less attractive areas in the building where we will not be able to sign at SEK 6,000. But those are the top rents that we aim for. And the yield on cost on this project has passed the threshold, the internal threshold that we have of around 7.5% yield on cost, unleveraged. So this is right in that area. We need, of course, to differentiate between, let's say, a Stockholm project in attractive office locations, and for example, a logistics building somewhere in the outskirts of our cities. So there is a room to maneuver. But our overall target is 7.5% unleveraged yield on cost, and this qualifies.
Erik Granström: Okay. And my second question regards your cost of debt. I believe including unutilized terms, you have 3.4% at the end of 2024. Based on what you know today, do you expect the cost of debt to be flat in '25? Or do you expect it to move in any particular direction?
Jens Andersson: We expect it to be flat at that level.
Erik Granström: Okay. And then my final question is regarding your investments for '25. If we exclude potential acquisitions and divestments, how much do you expect that you will actually invest in ongoing projects as well as in your existing portfolio compared to what you did in '24? Do you believe it will be more or about the same level?
Joacim Sjoberg: It will be more. It will be more. We have room for that given our strong financial position. And we also feel a higher degree of confidence that the market is improving. And those 2 are the main sort of factors for us actually pushing for growth.
Christoffer Stromback: Next question, Paul May, Barclays.
Paul May: A couple of questions from me. I just wondered, I think in previous quarters, you've commented on some negative re-leasing spreads. I just wonder if you could give any color on that in Q4. And how you see that evolving over the next year? I think a similar question is, October, CPI came in Sweden at 1.6. I think over this year, you've achieved quite materially below the prior inflation level. Do you expect to achieve the 1.6 next year? Or do you think that you're also coming below inflationary levels? I've got a couple of other questions after that.
Joacim Sjoberg: Very good questions, and I would be lying if I could be super confident in saying that we will achieve 1.6 or 2.0 or 1.0. We're humbled that some of our submarkets have challenges, but others are going very, very well. So we have renegotiated a very large number of contracts, 2024, as Jens mentioned. The slowdown in the economy has affected the renegotiations. But as you all could see, we are doing quite well in terms of the gross leasing. And I believe firmly that the upturn in the economies of the Nordic countries will give us a stronger demand. I -- we have, of course, in our internal budgets, a view on it, but it would be unwise to make any promises in terms of what we will achieve. But we are certain that 2025 will be a better year than 2024.
Jens Andersson: And I think if I can add something, looking at the renegotiations during 2024, they were at 0 if we exclude 1 contract with an entity under reconstruction. So I think that's a fairly strong sign for a relatively weak year.
Paul May: And just coming back on, I think, Erik's question around the cost of debt, I think this year you've got about SEK 8.2 billion of bond maturities. I think, on average, they were about a 2% cost. Seeing as refining of those will be between maybe 3.5% and 4%. Just wondered why the confidence you have around a flat 3.4% effective interest rate, given you've got quite a bit of debt that's going to mature at quite high -- quite low levels that you would need refinance.
Jens Andersson: A quite technical answer to that question. First of all, when we issue that bond, we actually decided to swap it from fixed to float half of it. So the effect will only hit us to half the extent that you expect. And of course, we also see significantly lower spread levels, both in the Eurobond market, but even so in the SEK market. So around SEK 3 billion of those bonds expiring will be issued in the SEK market on very decent levels. And I think we also will, over time, have a positive effect from continuing somewhat lower underlying interest rates in our portfolio, but a very good question.
Christoffer Stromback: Now we have the next question from Neeraj Kumar of Barclays.
Neeraj Kumar: Congratulations on your new S&P rating. If I may ask, what exactly triggered you to take an S&P rating given you already had a Moody's rating? So just wondering what were the thoughts around that.
Jens Andersson: The answer is that we have seen a trend over the last few years that several of our peers also have taken out a secondary rating. We believe that over time, it will complement one another. A few years ago, it could have been perceived as an increased risk of having 2 ratings. Now we deem it to be something that will stabilize our possibilities to issue bonds over time and also give greater certainty to some people that favor one or the other of the rating agencies.
Neeraj Kumar: Got it. I have just one more question on this. So I was reading the report put out by S&P, and I noticed that your SEK 1 billion hybrid is considered 100% debt by S&P because of the way it is structured. So I wanted to check if you're thinking -- how you're thinking about that instrument? Do you see any merit in refinancing it ahead of the call date so that the new hybrid has the equity content at both S&P and Moody's?
Jens Andersson: I think that's also a good question, and no decision has been taken to do anything before first call date of the hybrid, but we clearly see that the market is open on very favorable terms. The hybrid is trading at around par. So, therefore, we have the possibility to act if we decide to act. And, of course, it's a perpetual instrument that will be a part of our balance sheet in the future as well.
Neeraj Kumar: Got it. So you plan to keep the instrument in your capital structure going forward. I was just wondering if your thoughts have changed around that with the higher interest rate environment.
Jens Andersson: The plan is to keep it.
Neeraj Kumar: Because it's going to be like an expensive instrument once you reprice it or reset it.
Jens Andersson: I mean, the thing is -- no, no, I think that if you look at the framework for getting 50% equity allocation from S&P, Moody's, the hybrid, if we issue another one, we'll have to comply with both those frameworks in order to achieve the 50% allocation, which is, of course, important for us in the future. If the entire hybrid was considered 50% equity, it would affect the long-term value in S&P's model with around 3% lower loan to value.
Christoffer Stromback: Next question is from Jonathan at Goldman.
Jonathan Kownator: I just wanted to come back to the operating environment you're seeing today. Obviously, you highlighted that you expect better economic growth to trigger demand. What are you seeing exactly on the ground today? Obviously, you've signed a big lease with the TV studio, your vacancy is slightly decreased. But are you seeing that better demand already on the ground at this stage? Or are you just anticipating it? And have you had already big events for 2025 that you know about perhaps, departures also, that, that have already been signed?
Joacim Sjoberg: Good question. I mean, it's a combination of what we call anecdotal evidence in the market and actual data points. The data points are the number of meetings we have and the number of requests for proposals that we get. The more anecdotal ones are what happens in those meetings, where a lot of companies actually display a higher confidence in their future development. On the downside, of course, there are a number of companies that didn't make any decisions whether to increase or decrease their activities during COVID. And quite a few of those decisions are -- have been made now rather than a year or 2 ago. So yes, we feel confident that the upturn, especially in the Swedish economy with lower interest costs, both for companies and for private consumers, combined with financial -- a more expansive financial policy from the government will give us a stronger economy in the Nordics in 2025. That will make its way into our business as well even though, of course, office is late in the cycle, but we are confident that 2022 -- sorry, 2025 will be a stronger year, hence our decision to move forward with our investments.
Jonathan Kownator: Okay. Very clear. But essentially, it's a bit early to still see it in the numbers. And no large departures to be aware of already in your portfolio for 2025. I mean, you've got multiple, there's a tenant also.
Joacim Sjoberg: I mean, as soon as we get notice of departures, we are, of course, reporting them. And if it's a major one, we will report it if we deem it to be we be required to report it under the rules and regulations. But we are not aware of any such significant departures as of now. Traditionally, the fourth quarter is a departure where lots of tenants are on leases that can be terminated in the last quarter, and therefore, typically the fourth quarter is a troublesome quarter from that point of view. So no, we don't have any knowledge of any big departures that we have not reported on.
Christoffer Stromback: Thank you. So 1 or 2 short questions from the chat. We are running out of time. How do you view the opportunity to acquire standing properties versus repurchasing shares?
Joacim Sjoberg: This is a question that we got from another media this morning as well. And we are a very asset allocation driven company nowadays with both Board and management being occupied by creating shareholder value through allocating our resources to the areas where we get the best return. And of course, it looks very cheap to repurchase shares at the moment, but at the same time, the Board just announced that it's proposing a rather substantial share dividend of 1/4 of our results. So we need to make sure that the money that we have is allocated to where we can get a good long-term return, thus creating shareholder value. At the moment, we are reviewing all options, repurchasing, reducing debt, investing in standing properties or allocating funds to property development. And we are currently reviewing acquisitions and investments in standing properties as a more attractive way to create value, actually.
Christoffer Stromback: I think that has to be the last question of today. So thank you all very much for listening in.